Brian Prenoveau - IR:
Michael Murray - CEO:
Richard Sneider - CFO:
Operator: Good day, everyone, and welcome to the Kopin Corporation's First Quarter 2025 Earnings Call. Please note that the event is being recorded. At this time, I'd like to turn the conference over to Brian Prenoveau, Investor Relations for Kopin. Please go ahead.
Brian Prenoveau: Thank you, and good morning, everyone. Before we get started, I'd like to remind everyone that, during today's call taking place on May 13, 2025, we'll be making forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. These statements are based on the company's current expectations, projections, beliefs and estimates and are subject to a number of risks and uncertainties that could cause actual results to differ materially from those forward-looking statements. Potential risks include, but are not limited to, demand for our products, operating results of our subsidiaries, market conditions and other factors discussed in our most recent annual report on Form 10-K and other documents filed with the Securities and Exchange Commission. Although the company believes that the assumptions underlying these events are reasonable, any of them can be proven inaccurate, and there can be no assurances that the results will be realized. The company undertakes no obligation to update the forward-looking statements made during today's call. In addition, references may be made to certain non-generally accepted accounting principles or non-GAAP measures, for which you should refer to the appropriate disclaimers and reconciliations in the company's SEC filings and press releases. Kopin Corporation's Chief Executive Officer, Michael Murray, will begin today's call with an overview of Kopin's progress within the company's strategy. Following Michael, Kopin's CFO, Richard Sneider will review the company's first quarter 2025 financial results. I would now like to turn the conference call over to Michael Murray. Michael?
Michael Murray: Thank you, Brian. Good morning to everyone, and welcome to our first quarter earnings call. I'm actually visiting customers and speaking at SID tomorrow in California, which is why our call is this evening instead of usually in the mornings. For our first call of the calendar year 2025, I'd like to take a few moments to discuss Kopin's big picture opportunities and how we see our business and landscape evolving over the coming few years. As a leading provider of the world's most advanced micro displays and application-specific optical solutions for high performance and mission-critical virtual reality and augmented reality applications, we have a unique and truly significant opportunity in front of us. While our products and technology can be applied to a variety of industries across the landscape, we've chosen to focus on a few, which we think will have the greatest growth opportunities aligned to our core competencies and provide the clearest path to profitability. The industry we initially narrowed our focus on is defense. We believe we are the only manufacturer in the world offering four different types of micro displays, which put us in a unique position to capitalize on macro trends across the globe and grow our business. Furthermore, Kopin has invented a 5th type of micro-display called neural display, which integrates human responses as feedback loops into the dynamic control of the display itself to optimize brightness, contrast, increase comfort, while reducing size, weight and power consumption of currently fielded defense and consumer AR systems, to be increased global tensions, defense budgets across the globe are increasing at significant rates. In The United States, the administration has mentioned spending $1 trillion on defense next year alone. Europe has also pledged to spend over $1 trillion as well, while Japan and Korea are committing to increase defense spending as well. In short, we are seeing increased budget rates at all nations across the globe, while Kopin has experienced a higher rate and exponential increase in the volume of quote requests, bids and research and development projects, driving our pipeline of qualified and capturable opportunities into several hundreds of millions of dollars. We believe this shift provides us with increased global opportunities and a diversified pipeline for growth. During my recent visits to Korea, Taiwan and Europe, it is evident that, a significant technology refresh with regards to soldier vision systems, thermal weapon sites, and helmet mounted displays is a priority for these nations specifically as well since their ability to view tactical information, control drone movements, all while keeping their eyes on the battlefield to see their adversaries before they are seen is critically important to a positive outcome. This capability is highly sought after and it is called our DayVAS and DarkWAVE technology. Now today, defense departments and contractors are looking for more than simple commodity products to plug into systems. They want application-specific solutions tailored to individual needs and products. This is where Kopin has a distinct advantage. Customers want ergonomically designed systems that utilize custom optics and require less weight and less battery power. Whether the application is a thermal weapon site, a helmet mounted display or a high refresh rate display in armored vehicles, the goal is the same, to increase the effectiveness and safety of the soldier using it. We take that responsibility seriously and that's one of the reasons we have focused on partnering with Tier 1 defense contractors. And that's why we are the sole source provider of micro displays for several programs of record within the Department of Defense, as a key provider of technologies built right here in the United States and/or with our allies. With these advantages in mind, we aim to get Kopin to at least $75 million of revenue in 2027. This is an ambitious goal based on 2024 revenue of $50 million and expected 2025 revenue of between $52 million and $55 million. We believe we can achieve this milestone with our existing products, our new technologies we are developing, production investments to increase throughput and expected project awards we have high confidence in winning. Furthermore, we are working on several strategic developments with market-leading and domestic firms in each of the highest growth markets, which we believe will greatly accelerate our growth and market penetration. We're also focusing much of our resource on the largest of opportunities in each region with the largest clearly being the IVAS or SBMC program here in the United States and others like it. Within the United States, this is a $22 billion army program and it's all encompassing from a standpoint of software, hardware and networking elements. As warfare evolves and increases in complexity, having tools that deliver the right information quickly and intuitively becomes much more urgent. This is not only evident in the United States, but other countries are also investing in similar technologies, which Kopin can support. Beyond providing a technological superior product, we need to be consistently a higher quality supplier. We have made tremendous strides in this area and department and our customers recognize this tremendous improvement we've made. Our initial actions to streamline and improve overall manufacturing were all part of our One Kopin strategy, which we reorganized our Kopin Virginia and Kopin Europe teams to unify our focus, our strengths and capabilities while reducing redundancies. We also formed new business development, program management and quality teams. With our fab-light strategy, we brought online new OLED and microLED vendors to strengthen our source of supply for U.S. DoD applications, while keeping our consumer supply strategy intact. This manufacturing strategy was positively validated due to the recent geopolitical, trade and tariff issues we've seen in the market as of late. In 2025, to meet our growth and profitability goals, our top strategic initiative is the implementation of AI-assisted factory and process automation. Improving manufacturing efficiencies, increasing automation and reducing redundancies are critical areas of improvement for the company. We are making these improvements to increase our manufacturing capacity without significant headcount increases or decreases. Again, considering the recent tariff news and geopolitical tensions, it is important to note that, our top three programs are built right here in The United States, and much of our active opportunity line will also be built here as well, whilst our NATO and European demands can be supported through our Scottish facility. This does not mean we are immune to tariffs, but we believe, we remain better off than many companies and only have experienced minor tariff issues thus far. In the first quarter of 2025, we announced approximately $28 million of new contract wins and awards and our book-to-bill at the end of the first quarter was better than 2.8:1. Given the long-term nature of many of our existing programs and the contract wins so far in 2025, our current pipeline is very strong and it continues to grow with the recent additions of new customers, new research and development projects and a broader application base, which is much, much healthier. As a reminder, several of our programs have congressional budget demands through 2030 and several of the program contracts we supply into are indefinite demand, indefinite quantity or IDIQ, which allows for even greater revenue potential than we currently have on our order book. Now I am very excited, if not more excited about our future at Kopin today than when I first became CEO a few years ago. We have great people that are doing great work at the company. With the improvements in our operations and manufacturing, we are much, much better positioned today than we were even just last year to win new contracts with new customers that demand the highest quality bespoke capabilities and long term partnerships. We have clearly moved from merely being a supplier of micro-displays to a trusted partner to several of the world's leading defense firms. We are also now an integral semiconductor and optics technology partner on several defense programs that demand specific solutions worth hundreds of millions of dollars and are approaching even billions of dollars in total spend. Although unfortunate, increasing geopolitical tensions mean the world is not likely to become a safer place in the near-term. But our products and our technologies can help make our soldiers and the soldiers of our allies safer, meaning more men and women in uniform will make it home. Furthermore, our CR3 medical headset is also entering into full production, which will help improve to patient outcomes in the most difficult of surgical practices as well. We also continue to engage with select consumer companies who are interested in helping Kopin and manufacture and mature specific areas of our technology, which focus upon higher brightness and refresh rate displays and architectures than that of the current technologies in use today. Furthermore, our technology that advances our human in the loop or neural display platform, which we collectively believe will increase the adoption rates of current AR glasses due to its AI-enabled backplane architecture, which can also support OLED and microLED depositions is gaining tremendous traction. Now to summarize, the global market demand for Kopin and our current solutions has increased by hundreds of billions of dollars. And we are developing strategies to access and capture more of that market more quickly through partnerships, teaming agreements and other more strategic activities. Our fab light strategy brings continuity and flexibility of supply, advantageous cost structures and the ability to leverage technology-leading offerings to help us solve our customers' most difficult technology challenges. Our focus on AI-assisted automation in our factory process and business will enable Kopin to grow at a much quicker pace, while keeping our OpEx at a more stable and less linear rate to increase production output, which will fuel greater profit margins on current and future products and services. Our One Kopin initiative has reduced costs and redundancies, improved alignment and focuses our energies on growth markets. Our team is truly passionate about what we do and we've been able to retain and attract the best talent in the world to help us achieve our goals. I'll now turn the call over to our CFO, Rich Sneider, to review our results from the first quarter in further detail. Over to you, Rich.
Operator: Rich, you might be on mute.
Richard Sneider: Thank you, operator, and thank you, Michael. Turning to our financial results for the first quarter. Total revenues for Q1 2025 were $10.5 million versus $10 million for the prior year, a 5% increase year-over-year. Product revenues for the first quarter ended March 29th, 2025 were $9.2 million compared to $9 million for the first quarter ended March 30th, 2024, essentially flat. In the first quarter of 2025, funded research and development revenues increased 37% to $1.2 million from $900,000 in Q1 of 2024, primarily because of an increase in funding for U.S. defense programs. Cost of product revenues for the first quarter of 2025 was $7.6 million or 83% of net product revenues, compared with $8.5 million or 95% of net product revenues for the first quarter of 2024. The decrease in product revenues or cost of product revenues was primarily the result of improving manufacturing quality and less waste. R&D expenses for the first quarter of 2025 were $2.1 million, an increase of $15,000 from a year ago. Customer funded R&D decreased approximately $200,000 essentially offsetting the increase in internally funded R&D. SG&A expenses were $4.7 million in the first quarter of 2025 compared to $7.2 million in the first quarter of 2024. The decrease was primarily due to a decrease in legal fees of $2.9 million. Turning to the bottom-line. The net loss for the first quarter 2025 was $3.1 million or $0.02 per share compared with net loss attributable to Kopin of $32.5 million or $0.27 per share for the first quarter of '24. Keep in mind, the first quarter of 2024 includes the $24.8 million reserved for litigation damages. Net cash used in operating activities was $3.4 million in the first quarter, of which approximately half was the result of changes in working capital items. Listeners should review our Form 10-Q for the quarter ended March 29th, 2025, for additional disclosures. And with that, I'll turn it back over to Michael.
Michael Murray: Thanks, Rich. I'd like to take a moment to thank our employees at Kopin for their hard work and dedication. The improvements the team has made in a relatively short period of time is truly commendable. But, we believe the growth trajectory is just beginning. As we continue to mature our advanced technologies like our Color MicroLED portfolio and our Neural Display architecture coupled with our existing products, technologies and customers, we believe, we are in a great position to support the defense, medical, industrial and consumer markets globally. And I believe the best years are yet to come. So with that, operator, we want to open up the call to questions.
Operator: Absolutely. [Operator Instructions] And we'll take our first question from Glenn Mattson with Ladenburg Thalmann. Please go ahead. Your line is open.
Glenn Mattson: Hi. Thanks for taking the questions. Michael, you talked a bit more than usual on the international opportunity. Maybe can you give a little more color and detail about, just which regions or go as deep as the countries offer the most near-term potential and how long, what's your timeframe thoughts on how to turn some of that pipeline into revenue?
Michael Murray: Sure. Thanks, Glenn. Currently, we see Europe as a critical area for our growth. As you know, we have a location in Scotland that we've just converted into the One Kopin strategy, where they're able to support defense applications and other applications throughout Europe and The UK. The amount of spending and opportunity that we're seeing in The UK and Europe global on mass. It is quite large. So we're seeing near term opportunities to convert to research and development contracts in Europe, as well as some early-stage production opportunities in Europe as well. So Europe is, I'd say, our primary focus. Secondly, we see tremendous opportunities, in Korea. I was just there, meeting with several leading companies in defense in Korea and one of our partners there. And we see fairly significant opportunities in Korea as well. Japan, I would say, would be number three for us. But these are near-term opportunities where we can secure research and development contracts as well as some near-term production contracts. And we're looking forward to partnering with several firms in more of a flywheel strategy, where we can partner with companies that are in local situ, meaning they have facilities there that we can work with them. We may even consider doing some joint venture work, to capture some of this opportunity while it's there for us. So we're very engaged in it. We see the opportunity and we're working very hard to capture it.
Glenn Mattson: Very helpful. And then secondly, you mentioned some of the automation activities that you're putting into place, gross margin on the product is volatile a little bit. I imagine you're trying to kind of get that to a nice level and get it more consistent. Can you just give us a sense of when that stuff can kick in, and maybe what level of gross margin we could expect when it all is in place?
Michael Murray: Yes. Great question. So where we see the biggest value and benefit for our new automation is actually on inbound and outbound inspection. We've invested in new systems in both of those areas, that are going to help our quality control be done more effectively, quickly and through greater rates. So we're looking forward to that coming online. The last briefing I had, Glenn that new camera-based system will be online in June and we expect to see several significant points of gross margin or at least OpEx reduction through using that system. And we're going to retest the people into more valuable roles within the company. But as you can imagine, inspecting lenses and polarizers and glass is very difficult for the human eye. So adding this level of automation is going to be much welcome news for us. So we see several points of gross margin that, that will improve.
Glenn Mattson: Great. Thanks. That's it for me. I'll jump back in the queue.
Operator: We'll take our next question from George Gianarikas with Canaccord Genuity. Please go ahead. Your line is open.
George Gianarikas: Hi, all. Thank you for taking my question. A little bit of a housekeeping first. I just want to make sure I understood the guidance. So in your last report, you talked about revenue in the $52 million to $55 million range. And you just said talked about reiterating double-digits growth. I just want to make sure that we had that revenue number appropriately calibrated that you're thinking of for this year?
Michael Murray: Yes. We ended up taking our guidance down somewhat based on the geopolitical trade issues that we were seeing. We still expect to see double-digits growth in our view. So we're hopeful to increase our guidance over the course of the year, George, once a lot of this tariff uncertainty becomes more known and reasonable. So, we believe there's more growth in 2025 and we're being conservative in the first half.
Richard Sneider: Yes. Hi, this is Sneider. Just to echo Michael's comments, as we've indicated, we have significant book of business and we have the ability to execute on that book of business, our customers will take product as we can make it. But we want to do it in an expeditious manner and a cost-effective manner. So between knowing when the automation is kicking in and where these tariffs are going to land, we're being somewhat judicious in this year's revenues.
George Gianarikas: Okay. Thanks. Maybe second question regarding Neuralink, can you just talk about any progress in bringing that to commercialization? Thank you.
Michael Murray: Sure. On neural display, we have...
George Gianarikas: Neural display.
Michael Murray: I understand. It's interesting. Neural display, when you think about it, is a Neuralink. It has a human in the loop capability. We're not talking to those folks to be clear, but we do think that's the way the market is going, specific in consumer, George, where you don't necessarily want to have hands on your technology. Your technology should be able to adapt to you, and that's what we think, the biggest AR VR companies in the world are trying to accomplish, including, the folks over at Neuralink. But our goal is to have a demonstrable neural display in a headset very shortly, and we expect to have some press and potentially a road show with it very soon here, ideally in the next quarter.
George Gianarikas: Great. Thank you so much.
Operator: Thanks for the question. We'll take our next question from Jason Schmidt with Lake Street. Please go ahead. Your line is open.
Jason Schmidt: Yes. Thanks for taking my questions. Just given all the dynamics in the macro, just curious what you're seeing from a quoting activity and order pattern standpoint so far here in Q2?
Michael Murray: Great question. So we were struggling in the first part of the quarter to get orders placed. That has since freed up. So we're seeing good order flow now, Jason. But it definitely causes some concern in Q1. We weren't seeing the order flow and the timeliness of orders that we would have liked. But now that is definitely improved. We're seeing the orders that we thought we were going to see. We're tracking several new orders that will be released by the government very shortly here, that are in the $10 million to $20 million type of range. So we're definitely seeing it free up in Q2 and we hope that that's going to continue through Q3 once the budgets are ratified and expelled. So we're hopeful that, the second half will be even better than the first half.
Jason Schmidt: Okay. No, that's really good to hear. And you're obviously seeing some nice traction with some new R&D awards. Can you just discuss what's driving this momentum and how we should think about these eventually translating into contract awards?
Michael Murray: Great question. So many people investors have asked me, why we don't put the amount of the contract in our press releases, when it comes to research and development, specifically with the Army, Navy or the government at large. And the reason is, they've asked us not to. Most of the R&D contracts that we get are in the several million to million dollar range. I can give ranges. And, if we mention the Army or Navy or, the branch of the military by name, just be confident in that. We've had to check and validate those releases, with those government agencies before we announce them. But we do not put the amount in the research and development, awards. Even though the amount of the award might be modest, maybe $1 million to $2.5 million, it's the opportunity that unlocks, Jason. As an example, our off the visor award that we recently announced, it's a decent award, a few million dollars. However, what's important is what it could unlock. If this technology works and our design works, this is a design that is for the rest of the soldiers that are out there, an optical design that can, come off of a helmet of any soldier, that's using it. So, very strategic and significant opportunities can be unlocked by these research and development awards. So even though the revenue might be modest, the opportunity that they create is very significant, specific when we start talking about the off the visor technology or a new micro display investment like we just announced, some research that we're going to do on a color microLED, for soldier-based systems that can unlock a tremendous opportunity pipeline in the future. And what we're seeing right now in the industry is telling us that, the applications that are out there, whether it be consumer, medical, or military, require a much brighter display for the same amount of power. And that just spells microLED to me, but it's got to be a color micro LED. I'm going to be talking about it tomorrow at SID, here in California, and we're investing heavily and focused in that area. But those small research and development contracts that really starts that funding vehicle and drives the technology forward and they're very important for our future.
Jason Schmidt: Got you. I appreciate the color. I'll jump back in the queue. Thanks guys.
Operator: There are no further questions on the line at this time. I'll turn the program back to management for any additional or closing remarks.
Michael Murray: Wonderful. Thank you, operator. Again, we're tremendously excited about our future. I think 2025 is going to be another growth year for Kopin. We do expect that, we're going to have a stronger second half and first half, not only for orders, but also for revenue and gross margins. So we look forward to updating you as we progress this year. Thank you all for joining and thank you to the team at Kopin for delivering another great quarter. Thanks very much.
Operator: This does conclude today's program. Thank you for your participation and you may now disconnect.